Operator: Good morning, ladies and gentlemen, and welcome to BRP Inc’s FY ‘25 Second Quarter Results Conference Call. For participants who use the telephone line, it is recommended to turn off the sound on your device. And I would like to turn the meeting over to Mr. Philippe Deschenes. Please go ahead, sir.
Philippe Deschenes: Thank you, Sylvie. Good morning and welcome to BRP's conference call for the second quarter of fiscal year ‘25. Joining me this morning are Jose Boisjoli, President and Chief Executive Officer; and Sebastien Martel, Chief Financial Officer. Before we move to the prepared remarks, I would like to remind everyone that certain forward-looking statements will be made during the call and that the actual result could differ from those implied in these statements. The forward-looking information is based on certain assumption and is subject to risk and uncertainties and I invite you to consult BRP's MD&A for a complete list of these. Also during the call, reference will be made to supporting slides and you can find the presentation on our website at brp.com under the investor relations section. So with that, I'll turn the call over to Jose.
Jose Boisjoli: Thank you, Philippe. Good morning, everyone, and thank you for joining us. Our financial results for second quarter were essentially as expected and reflect our focus on reducing network inventory to support our dealers. However, the macroeconomic environment and high interest rates continue to put pressure on consumer demand. As a result, the demand has declined more than anticipated, while promotional activity has intensified. In this context, and given our commitment of safeguarding our dealer value proposition, we have decided to further adjust our production schedule for the year, which is reflected in our updated guidance. Let's turn to slide four for key financial highlight. Revenue reached $1.8 billion, normalized EBITDA was $199 million, and normalized EPS was $0.61, generally in line with our expectation. We have made great strides to reduce network inventory, which is down 13% so far this year, progressing towards our objective of a 15% to 20% reduction by the end of fiscal 2025. As for retail, our North American Powersports sales were down 18% from a strong second quarter last year as the industry experienced weaker consumer demand, as you can see on slide five. We are operating in an increasingly challenging economic environment. Market conditions were in line with our plan through April, but deteriorated in the second quarter. Although these conditions are impacting many of the regions where we operate, it has recently become more challenging in North America, our key powersport market. On the plus side, we have been more proactive than most OEMs at reducing network inventory and this was received positively by our dealers. Having said that, OEMs with high level of inventory have been more aggressive with promotion, which has impacted our market share this quarter. Looking at retail performance for the quarter on slide six, overall retail was down in the 10% lagging the industry in North America, EMEA, and Asia Pacific. Meanwhile, it was up 18% in Latin America, driven by a very strong performance in Mexico and Brazil, where consumers are highly engaged with our Ski-Doo and Can-Am brands. Given our focus on bringing network inventory down, we were anticipating some market share loss, namely for side-by-side. A few words on our personal watercraft market share decline. Last year, you may remember that our main competitor had supply issues, which turned out to our advantage. The fact that this situation is back to normal, combined with the current industry weakness, had a larger than expected impact on our retail this season. Turning to slide seven, we are pleased with our results ORV for the full season, as we've delivered record retail performance up 8% in an industry that was flat. We gained about 2 points of market share in side-by-side vehicle, passing the 30% mark for the first time. We also performed very well in ATV, gaining 1.5 point of market share. With these achievements, we have closed the gap with the number one position in the industry in term of ORV unit, retail per dealers. In the current environment, we expect further short-term market share volatility. However, with our recent product launches and momentum with dealers, we believe we will continue to gain share in ORV for the coming season. Let's turn to slide eight for highlight of our current -- of our recent dealer event held in California. It was one of the largest ever in terms of product news with over 3,000 participants in person and virtual. We announced the availability of our highly anticipated Can-Am Pulse and Origin all-electric motorcycle lineup, making our reentry into two-wheel space. These models leverage our own Rotax E-Power unit, which also propel our electric snowmobile and will be used in future VRP electric product. In term of the next step we will be hosting several media events training our dealers and hosting VRP customer events throughout the second-half of the year. We intend to become a global leader in that space with true innovation designed to simplify the riding experience for new riders and introduce electric motorcycles to all. But this was not the only key news of our dealer event as you can see on slide nine. We bolster our Can-Am off-road lineup, introducing the four-seat version of our top-of-the-line Maverick R. This extension was highly anticipated as multi-passenger model represents close to 60% of sales in that category. We also introduced our all-new Outlander ATV platform in the high CC segment, representing the first major platform upgrade in that segment in about 15-years. This new platform has been very well received, just like the Mid-CC last year. As for three-wheel vehicles, we've launched the all-new Can-Am Canyon, our most rugged ever in this segment. Purpose built to increase accessibility into the growing adventure terrain market, which has doubled in recent years. The Can-Am Canyon will target three-wheel riders of all skill levels. On the Sea-Doo side, we further build on the FishPro success by introducing the FishPro Apex, the most powerful personal watercraft in that segment, and the Switch pontoon fish edition, the first ever in that category. These models cater to very large potential consumer base with over 220 million recreational angler worldwide. The product launches at our dealer event demonstrate our commitment to innovation and position us to continue gaining market share in the future. Now let's turn to slide 10 for more detail on our year-round product. Revenue were down 33% to $1 billion, primarily due to reduced shipment. At retail, Can-Am side-by-side was down high-single-digit percentage, slightly more than the industry, as we were facing a very strong quarter last year and aggressive promotion from other OEMs this year. However, we continue gaining share in the utility category, driven by the ongoing success of our high-end defender cab. As for ATV, retail was down low-single-digit in the quarter in line with the industry. We are still seeing solid traction with our new outlander platform, which deliver market share gain in the mid-CC segment. Looking at three-wheel vehicle our retail was down in the high-20%, slightly lagging the industry. We continue to see stronger performance at the high-end of our lineup, while the Ryker, our entry-level product is affected by the economic pressure on target consumers. Turning to seasonal product on slide 11. Revenue were down 40% from last year to $542 million. Our retail and personal watercraft declined in the mid-20%, due to weak industry trends and reduced market share as explained a few minutes ago. Entry-level products were more impacted, but we perform well in the high-end category. At this stage, we expect to finish the season with more inventory than planned. The switch was down high-30%, suffering from generally weaker trends in marine, and lapping a strong quarter last year supported by early introduction momentum. Moving on to slide 12 with parts for Parts, Accessories & Apparel and OEM engines. Revenue were down 12% to $258 million, due to lower sales volume. PA&A sales continue to benefit from our growing fleet, especially in ORV, offset by weaker demand for snow-related products and lower accessory sales due to softer retail. Turning to marine, revenue were down 54% to $57 million, reflecting lower boat shipment volume. Looking at retail sales, Alumacraft was up about 40%, while Manitou was up high-20%, as we were lapping a low retail volume period. As for Quintrex, retail was down mid-single-digit in line with the industry. With that, I turn the call over to Sebastien.
Sebastien Martel: Thank you, Jose, and good morning, everyone. Our Q2 financial results came in essentially in line with our expectations and demonstrated our commitment to support our dealers as we proactively slowed our shipments in the quarter to accelerate the reduction of our network inventory levels. Looking at the numbers, revenues were down 34% to $1.8 billion, primarily due to lower shipments. We generated $377 million in gross profit representing a margin of 20.4%, down from last year due to the less efficient use of our assets given the lower production volumes and higher sales programs. These were partly offset by a richer product mix especially in side-by-side and personal watercraft and favorable pricing. In this context we continued to diligently manage our expenses and also benefited from the recognition of R&D subsidies in the court. Combined, OpEx was down 10% compared to Q2 last year, alleviating some of the pressure from reduced shipments. Including all of the above, our normalized EBITDA ended at $199 million and our normalized earnings per share at $0.61. Turning to slide 15 for an update on our network inventory. As discussed since the beginning of the year, a key driver of our plan for fiscal ‘25 is the reduction of our network inventory to support our dealers, whose margins are pressured by the uncertain economic environment, high interest rates, and increased competitive dynamics. Being the first OEM to commit to supporting our dealers through this challenging environment by proactively reducing our shipments earlier in the year allowed us to make solid progress on our network inventory reduction target. In fact, as of the end of Q2, our network inventory is down 13% from Q4 levels, while on our way towards our objective for a reduction of 15% to 20% by year-end. Furthermore, we continue to improve the quality of our inventory, with most of the reduction in the quarter coming from non-current units. While the actions we took to reduce our network inventory during the second quarter impacted our financial performance, we strongly believe that supporting our dealers in this difficult environment is essential to ensure our long-term mutual success. With this in mind let's turn to slide 16 for an update on our guidance for the year. As Jose mentioned, due to weaker industry trends, especially for side-by-side and personal watercraft, and increased promotional activity from competitors in the form of consumer rebates, dealer incentives, and even MSRP reductions. Moreover, the difficult macro environment which had started affecting many of our key international markets in fiscal ‘24 now seems to also be impacting the very important U.S. powersport market. As such we are approaching the second-half of the year with caution assuming that the softness we saw in Q2 will persist through H2 and will likely continue through at least the first-half of next year. Consequently, we have adjusted our shipment plan for the rest of the year as we continue to aim to right-size our network inventory levels in a weaker industry environment. Additionally, our revised guidance also incorporates planned incremental sales program expenses as we will continue to support our brands and our dealers in this increasingly promotional environment. Following these adjustments, depth of the benefit of additional cost-saving initiatives as we right-size our expenses for the current environment, we now expect our revenues to end between $7.8 billion and $8 billion, normalized EBITDA to end between $890 million and $940 million, and normalize EPS to end between $275 million and $325 million. With these revised assumptions, coupled with the working capital headwind resulting from the change in production schedule, we now expect a lower level of free cashflow generation for the year, somewhere north of $200 million. As for how we anticipate the rest of the year to unfold, we expect a sequential improvement in Q3 in terms of revenue, normalized EBITDA, and normalized EPS, with the former expected to be up in the range of high-single-digits to low-teen percentage from the $0.61 we just delivered in Q2. While fiscal ‘25 is not unfolding as we had initially planned, we strongly believe that we are taking the right actions to protect our business and our dealers in this challenging environment, all the while positioning our business to lead the industry when markets return to growth. On that, I'll turn the call over to Jose.
Jose Boisjoli: Thank you, Sebastien. The first-half of the year was challenging, but we believe we made the right decision at the right time. Our plan has been well executed and I thank our teams for their dedication through this difficult period. Over the years, our decision has always been guided by our commitment to balance the interests of all our stakeholders. In this spirit, we were the first OEM to proactively reducing shipment. We want to protect our dealer business, the value of our brands, and our long-term profitable growth. Dealer have recognized that our actions are those of true business partners. We had the opportunity to connect with them at our dealer event. They are enthusiastic about our recent product launches and pleased to see that we remain committed to actively investing in R&D. Despite the current context, they know we are doing what's needed to remain their OEM of choice. Over the short-term, proactively managing production and network inventory is a priority. As we look to the long-term, we remain confident in our strategy driven by our focus on innovation, extensive portfolio, and strong dealer network, we are well positioned for continued success. On that, I turn the call over to the operator for question.
Operator: Thank you, sir. [Operator Instructions] Thank you. And your first question will be from Craig Kennison at Baird. Please go ahead.
Craig Kennison: Hey, good morning. Thanks for taking my question. I guess, I appreciate what you're doing with respect to dealers and making sure they're as healthy as can be. How do you know you've done enough cutting? Those of us on the outside are all trying to figure that out and I'm curious what you'd use internally to know that this cut is deficient?
Jose Boisjoli: Yes, good morning, Craig. You know, when we look at the macroeconomics, the pressure on the consumers, and the overall context, we're approaching the balance of the year on a cautious stance. And basically, we saw the Q2 retail trending down in -- we saw the trend of retail going down in Q2 and it's continuing in August. And what we expect for H2 is ORV to be down mid to high-single-digit, snowmobile to be down low to mid-teen, and watercraft and three-wheel, there is only a few months to retail, but they will be down by slightly above 20%. Then we believe by when we see the trend in Q2, we believe that projecting this in H2, that our water is the right approach. On our side, we -- obviously, we are in a better position than some of OEM with our inventory. Some OEMs who have more inventory are very aggressive on the promotional side for the consumers for the dealers and even one in the off-road business reduced is MSRP, and we are a follower. We will not follow those actions, because we want to protect again our profitable business. We want to protect the dealers and we want to protect our long-term growth. And this is basically how we plan H2, and we feel that where we are, we are at the right level for the balance of H2.
Craig Kennison: Thank you. And as a follow-up, to what extent do your efforts to cut broad inventory help you convince dealers to stock e-bikes and some of the newer products that you have in order to win showroom space with your dealer?
Jose Boisjoli: Yes. I think on this -- and it's not black and white, but we were -- I was for three days with the dealer at our dealer show and obviously, they are happy about that we were the first OEM to committed to reduce inventory. They see that we are true partners. They see that we're trying to protect our profitability, theirs and ours. And we're working hand on hand with them. And they came out of the club first positive with the new product. This is always what they're looking for. But second, we believe that doing what we're doing, we will -- we're doing the right thing for the long-term. And this is basically the mindset that we saw at club. On the two-wheel, I don't see the correlation between what we're doing for two-wheels. We will have 300 dealers year one. We sell the two-wheels, and our requirement is some space in the dealer showroom, but our commitment for units is quite low. And we want to make sure we don't build inventory. Basically, it's taking a minimum inventory to display the product for the demo rides after that as much as the retail, we will replenish. And it will be a very low commitment from the dealer. And so far, it was well received.
Craig Kennison: Thanks, Jose.
Jose Boisjoli: Thank you.
Operator: Next question will be from Martin Landry at Stifel. Please go ahead. Q - Martin Landry Hi, good morning. I was wondering if you could share your revised expectations for industry sales in North America for this year?
Jose Boisjoli: Like I just said, Martin, on the previous call, and I will repeat. Right now for ORV, we expect the industry to be down mid to high-single-digits. For our snowmobile, down to low to mid-teens. Obviously, the snow will play a factor there. At watercraft and three-wheel, and there is only a few months to go and it's low retail month, they will close the year probably down 20%, and this is for the industry in North America. Under our retail side, because of the high promotion activity that we will not necessarily be a leader, but a follower. And we're planning to lose some market share during that correction supply/demand period, we could lose some market share in some product line, but we are convene it's the right thing to do for the long-term.
Martin Landry: Okay, and just to be clear, are those units or dollars?
Sebastien Martel: Units.
Jose Boisjoli: Units, sorry.
Martin Landry: Yes. So can you give us your assumptions for dollars?
Sebastien Martel: Right now, no, in terms of industry dollars, no. But obviously, when you look at our guidance, we made a sizable adjustment to the year-round business. The majority of it comes from side-by-side given the softer trends we're seeing.
Martin Landry: Okay. And just to better clarify what would be a good assumption to use in terms of average unit price sale fiscal ‘25 versus ‘24 in terms of decline?
Jose Boisjoli: Well, in terms of MSRP, well, the expectation is that we've done quite sizable MSRP increases over COVID. Inflation is tapering down. So the expectation is that we'll come back probably to normal pricing increases next year as we've done pre-COVID. So we usually -- we try to price in the new features that we put in, some inflation on salary, et cetera. But we're mindful that price point is a significant headwind for some consumers. So usually, we do a price increase of 1%. Could we be in that range next year, that would be a fair assumption, nothing.
Martin Landry: Okay. That's obviously MSRP and sometimes actual with discounts are going to be lower, right?
Sebastien Martel: Yes. Well, the promotional environment is still quite high. We expect the promotional environment to be sustained at these levels, at least for the first part of next year.
Martin Landry: Okay, okay. Thank you very much, best of luck.
Operator: Next question will be from Robin Farley at UBS. Please go ahead.
Robin Farley: Great, thanks. I just wanted to clarify, you mentioned the retail declines you're expecting for the industry. And I think you were sort of mentioning that you might lose some share because others are being more promotional. But in your introductory remarks, it sounded like you were saying you expect to gain share in ORV for the coming season. So I just want to make sure I understand whether that would be sort of next year's calendar year. In other words, lose share between now and calendar end '24, but then gain share in '25 or just to kind of square that? And then I did have a follow-up, let me just ask that first.
Jose Boisjoli: On my prepared remarks, we gained share in season ‘24 that ended at the end of July. And now we're starting the new season, and we might lose some share, let's say, in H2. But we -- with the product lineup that we have with some inventory correction, we believe we will be gaining share over the full season from August 1 to July next year.
Robin Farley: Okay. Great. Thank you for that clarification. And then my follow-up question is actually just on the electric, like that you're making a big push in here. I guess others expectation for electric motorcycle has come down significantly over time? And just kind of wondering if you see that space differently than others or what leads you to be more optimistic about the electric two-wheel market? Thanks.
Jose Boisjoli: Yes. That decision to enter the two-wheel market electric was done four years ago, and we did great progress over that period. We're totally realistic that there is like a slowdown right now in electric car sales. But we believe this is -- it will take a few years to adjust and the trend is there, it will remain. That's for sure. But why we're confident, Robin, I believe we have the right product. And what I'm very happy with in the last -- since June, we had a lot of media, a lot of dealers who have tried our product, and they are very happy with the product. And it's a product because there is no clutching. It's not a product for a long-distance rider, but it's a product for commuting or short distance. But the product is very easy to ride. It has innovation, incredible connectivity. And if you look at the price that we price with the range we have like -- the base price is $13,999 for the entry-level model. You have 160-kilometer -- 100 miles of range. But our vehicle is equipped with fast charging. You can recharge from 20 to 80 in 50 minutes. Then this is on the product side. The Can-Am brand is well-known worldwide now. We have a very good dealer network. We're planning 300 dealers in Canada, U.S. and 11 countries in Europe for the first year going to 450 next year. The price range, again, we feel we are well positioned and we have a very good marketing plan to make the product with a demo drive and VIP event to make sure that people know about it. Then -- and I was myself in France in July, there is 150 city in Europe that are closing downtown to combustion engine vehicle and a lot of consumers turn to buy electric motorcycle. Then -- is this something that will be instant, this is difficult to say. I think we are better positioned than all the competition we have in that category, but it's a mid to long-term play.
Robin Farley: Okay, great. Thank you.
Operator: Thank you. Next question will be from Benoit Poirier at Desjardins Capital Markets. Please go ahead.
Benoit Poirier: Good morning, everyone. So my first question, could you maybe provide some color about the level of promotional activities we see these days versus the 200 bps impact in a normal environment. And also the puts and takes with respect to fiscal year ‘26, how we should be looking at fiscal year ‘26 given your revised outlook for fiscal year ‘25? Thank you.
Sebastien Martel: Good morning, Benoit. Yes, obviously, on the sales program front, some OEMs are more promotional recently than we've seen during pre-COVID. We saw this from a retail perspective, our consumer promotions were back to where we were in pre-COVID in terms of percentage of sales, but in absolute dollars higher, because obviously, there's been MSRP increases. In terms of incentives directly to the dealers as well, we see a lot of floorplan subsidies happening in back-end money, and so some OEMs have been later in adjusting deliveries to their dealers and so are probably finding themselves in a higher inventory position, and so they need to clear it out. And we expect that to continue through the rest of the year and probably in the first-half of next year. Obviously, when rates come down because it looks like the outlook is favorable for that. That will certainly help, especially on the buy down, especially on the floorplan for us and for the dealers. But as I said, we expect it to remain high back half of this year and the beginning of next year. On your second question, what do we expect for next year? It's a good one. Obviously, the environment is fluid very recently. We -- so it's tough to come out today with a target for next year. I'm sure you can appreciate that, especially with the softer trends we're seeing across the industries and the uncertainty about the macroeconomic environment and where rates will be going next year. What's going to be the environment next year? Tough to call, but we are approaching the year with a few key assumptions. One that the softness we're seeing across the different industries is likely to persist throughout at least the first half of next year, which means continued pressure on shipments and sustained high level of promotional activity. For us, we're likely to end the personal watercraft season with more elevated levels of inventory in the network because of the industry slowdown that we saw similar to what we saw in Marine. So shipments for that product line are likely to be down next year. And obviously, we'll offset some of that pressure by taking the necessary actions to right-size our cost structure. But if we look beyond next year, we are optimistic about the business. We're well positioned to continue to grow our market share, especially in ORV, exploring new markets and obviously, we still have further efficiencies to generate across the portfolio and across the business [Multiple Speakers] And what we can achieve in terms of financial performance is really dependent on the industry. And so we do believe that in a normalized environment, Benoit that the earnings power of the business is significantly greater than what we're going to see this year and what we could potentially see next year as well.
Benoit Poirier: Okay. That's great. And just in terms of quick follow-up, you ended the leverage at 2.1 times and you mentioned some color about free cash flow. So I would be just curious to see what is your comfort level in terms of leverage and your ability to pursue buyback activity in light of the revised outlook?
Sebastien Martel: Yes. Overall, very comfortable with the balance sheet. I've often said that coming out of the great financial crisis, we had two key learnings. One is make sure we have a covenant-light debt structure, making sure we have long-term maturities on our debt instruments, making sure we have ample flexibility and availability on the revolver. And these are things that we've done. Our debt is covenant lights that are not restricted from any increases in leverage that we might be experiencing in the short to mid-term. We've recently renegotiated the maturity of $1 billion Term B, pushing it through 2031. We've recently extended the maturity this past May of the revolver to 2030. So we're very comfortable from a balance sheet point of view. And from a capital deployment, we've just recently completed the NCIB, we repurchased 3.2 million shares completed in July. The next window is going to open up in December, and obviously, we'll continue having discussions with the Board, but we'll want to make sure that we protect our flexibility in a context that is probably more uncertain these days than certain. And so we prefer to be prudent. But there's a few months to go before we need to make that decision.
Benoit Poirier: Thank you very much for the time.
Operator: Thank you. Next question will be from Joe Altobello of Raymond James. Please go ahead.
Unidentified Analyst: Hi, good morning. This is Martin on for Joe. Just sort of assuming that the retail environment holds up at the city basis right now or the base it is right now, would you expect wholesale and retail to be alignment next year? Or do you anticipate further destocking?
Jose Boisjoli: Right now, again, for H2, we will continue to deplete inventory. We are at 13% at the end of Q2, and our goal is to be 15% to 20%. And Obviously, snowmobile will be critical because we had more non-current than desired since last winter. In terms of balancing retail and wholesale next year, I think it's too early to call at this point. There is so much volatility out there that it's very difficult to predict. And I would not, this morning, comment on anything on that one.
Unidentified Analyst: Okay. Understood. And just looking at this quarter, one of your competitors launched several model year '25 earlier than normal. How that impacted your shipments in retail sort of in this quarter and generally?
Jose Boisjoli: Listen, it didn't impact our shipment. I mean, we -- the shipment are planned a few months in advance. We have a dealer order on hand, and we ship according to plan for -- everything is scheduled for the next two to three months. But for sure, introducing '25 surely they had discount on their '24 that, for sure, affected some retail, but we were surprised with the MSRP reduction, which we believe is not good for the brand, and we decided not to follow because obviously, we are in this business for long term. And I think it would be wrong to follow for our brand, for the dealer business and our business and for our long-term profitability. Then it's a short-term -- it's a short-term blip. And we believe what we're doing is the right thing to do for the mid- to long-term.
Unidentified Analyst: Thank you very much.
Jose Boisjoli: Thank you.
Operator: Next question will be from Xian Siew at BNP Paribas. Please go ahead.
Xian Siew: Hi guys, thanks for the question. You kind of mentioned that other competition were a bit slower to reduce shipments. I guess like how do you think the industry will look exiting the year? Like are the competition also kind of taking the right steps in your view? Or such that you think like the whole industry could be -- inventories could be down to 15 or so percent? Or how do you think about where the whole industry exits inventories? Thanks.
Sebastien Martel: Yes, you're right. Obviously, part of what's happening right now is that many OEMs started the year with probably better industry and volume assumptions and some are late to adopt -- adapt to the softer trends that we've been experiencing, and that resulted in more inventory out there, and more aggressive promotions. Hopefully, that inventory gets liquidated in the near-term. Even with softer trends, if they were to persist next year, we believe that OEMs and dealers will be better aligned in terms of wholesale coming in and retail coming out, and that should help. As for ourselves, we expect to be in a better position and on the offense. This year, we're making a big correction to ORV inventory in the network. And we're well on track. You saw inventories are down 13% since Q4. So we're making very good progress. And so if that trend continues, we should be in a better position next year where we'll be more balanced in terms of wholesale and retail.
Xian Siew: Okay, got it. Thanks. I'll pass it on.
Operator: Thank you. Next question will be from Mark Petrie at CIBC. Please go ahead.
Mark Petrie: Hey, good morning. I guess just following up on that inventory question. I think you called out it's up 3% year-over-year. But just looking back at the last quarter, it looked like you guys have planned for it to be down, call it, mid-single-digits or maybe high-single-digits by the end of Q2. So obviously, you have different levers in terms of addressing that. The lower shipments clearly is what is in guidance, but you also have the lever of higher incentives. So I'm just wondering like what would it take for you to sort of move into or a step function higher in terms of promotional investment to clear inventory?
Sebastien Martel: Yes. The main element in the second quarter, Mark, is the personal watercraft industry, which was softer than what we have expected. So the miss versus where we were expecting to end in Q2 is related to personal watercraft. And as I said in my -- in one of the questions that I answered, we expect personal watercraft shipments to be softer next year as we work through that inventory. Some of it is happening in the back half of this year and some of it is going to happen as well next year. But from a promotional side, we believe we're competitive. And we give -- we have enough tools out there to make sure that we support our brand, support our dealers and allow them to match other OEMs and what they offer.
Mark Petrie: Okay. Appreciate that color. And I guess maybe sort of a related question. Can you just help us understand how you arrive at the target of 15% to 20% inventory reduction by year-end? And then also, like what would that -- like versus sort of historical slower demand periods, what would that imply in terms of units per dealer or maybe units as related to market share or however you think about that sort of inventory penetration?
Jose Boisjoli: Yes. First, you need to make a difference between the seasonal product and the year-round product. The seasonal product, let's say, watercraft and snowmobile, we had a target of about 10% of the next year retail, then basically, we believe, and this is a discussion we have a dealer. If a dealer sell 100 snowmobile, it's normal to hand the season with 10 units for the following season. That's the ballpark that we're looking as a proxy. And for seasonal product, watercraft and snow is very different, and I would include in there the boat industry, the marine industry. For a year-round product like three-wheel side-by-side and ATV, we're looking at it on days of inventory, forward days of inventory. Then the dealer, it's retail is going every month. And there is like too high season, the spring and the fall. And we're looking to be around 90-days of inventory forward retail. And there is some fluctuation depending on the region, but every dealer has that objective of being around 90 to 100-days of forward retail depending on this region, but it's dynamic. We have this map for all the dealer depending of more sport, more utility, and this is the way we'll look at it. And this is a roll-up to the target that we had -- this is how we came out with the 15%, 20% to come back for seasonal and year-round product in those proxies.
Mark Petrie: Okay. That's excellent color, Jose. I appreciate that. I guess maybe just my question would be then, like would that 15% to 20%, would that not have changed just given the deterioration in demand that you saw through Q2 and into the first part of Q3, like I would have thought that, that number might have come down just based on the parameters that you just provided?
Sebastien Martel: Well, we still want a good unit representation in the network. And so even though we are planning for software industry, the number -- the 15% to 20% also factored in higher interest rates where dealers are feeling some pressure, higher MSRPs as well. And so in relative terms, will still be lower despite market share gains than where we were pre-COVID. And so as Jose said, the 90 is a target, but could we be at 90, 100 days, we're still comfortable with those levels. And so that's why staying at the 15%, 20% target is something that we believe was the right thing to do for the business despite softer industry forecast.
Mark Petrie: Yes. Okay. Thanks, guys. Appreciate the comments and all the best.
Sebastien Martel: Thank you.
Operator: Next question will be from James Hardiman at Citi. Please go ahead.
James Hardiman: Hey, good morning. Thanks for taking my question. So I wanted to circle back on the question about sort of early -- an early look at fiscal ‘26 as difficult as that may be, obviously, you guys had the guidance bridge the last couple of quarters. We scrapped that and I can certainly appreciate why, that's getting a little bit too convoluted. But I guess, maybe most significantly, is there a way to put a dollar value around the magnitude of the inventory reduction, i.e., I know it's too early to tell, but if wholesale equaled retail next year and retail was pretty flat, like what how much earnings power would you get back in that scenario?
Jose Boisjoli: Like you know, when we started the year, we -- our first call in March, we said that we -- it was a correction in 2024 was a correction year. We had the bad winter, but 2024, we all believe was a correction year. Now with the trend that we have in Q2 and what we're planning in H2, it will be more probably a correction period for sure, the next 12 months, probably next 18 months will be still a correction period. As I just said, we want to deplete inventory this year to be at the right level for seasonal and year-round product. And next year, it's too early to call. I mean, with all the macroeconomic situation, the interest rates are starting to go down, but it's not -- it would be interesting what the U.S. Fed will do in September. This is definitely positive, but it will take a while before we're coming back to the level -- a reasonable level. Then I think there is too much factor out there to comment on anything for fiscal year 2026.
Sebastien Martel: Yes. In terms of quantifying the impact, in the Q1 -- our Q4 call that when we launched an interim guidance for this year, I referred to the inventory correction that we were doing about an impact of $3 to $4. And so again, in a situation where industries are normalized as no inventory depletion is that a potential tailwind that we have to our earnings, that would be how I would still frame it.
James Hardiman: Okay. And I guess, a follow-up to that. Any other big offsets we should be thinking about in terms of that bridge? And then I guess my -- I guess my follow-up question would be the interest rate piece obviously, the Fed is set to pivot here in a meaningful way. It doesn't seem like you're assuming that, that will help your business much particularly as we think about the commentary for the first-half of next year, not really getting any better. And so is that, that you're just not building any of those interest rate cuts in or you are making some assumptions about interest rate cuts, you just don't think that's going to make much of a difference in the sort of medium-term?
Sebastien Martel: Well, for our financials, interest rate cuts are going to help, they're going to help the floorplan costs. And we are -- obviously, if we look at what's expected in the market, yes, that's going to help on the floorplan side. On our financing costs, it's going to help, but we have interest rate caps that are falling off next year. So even if we build in rate reductions, we'll probably have a headwind coming from interest rates next year, because these caps are rolling off, probably, let's say, $10 million to $15 million. From a dealer point of view, it's going to help as well. I mean the floorplan expenses are going to be lower. Buydowns of interest rates for us are going to be lower as well on the retail financing side. And for sure, from a consumer point of view, if we get double rate cuts this year and next year, that's going to help as well. But is it going to move the needle? Is it going to remove some of the macro concerns that we're seeing today? It would be too early to call.
James Hardiman: Got it. That's helpful. Thank you.
Sebastien Martel: Thank you.
Operator: Thank you. Next question will be from Cameron Doerksen of National Bank Financial. Please go ahead.
Cameron Doerksen: Hey, thanks. Good morning. I just wondered if you could sort of frame how should we think about some of the operating expense line items for the rest of the year. Obviously, R&D was lower in Q2. You've cited the, I guess, R&D subsidies hitting the quarter there. So just can you just talk a little bit about what you see in the back half of the year on those operating expenses and G&A?
Sebastien Martel: Yes. Obviously, a bit of movement. But again, if I look -- go down the P&L, our gross profit wise, I'd expect probably gross profit to be flat to maybe down in the second-half of the year versus what we saw in the beginning of the year. First six months of the year, gross profit margin was up 22.1%. And in terms of OpEx, obviously, there's going to be some OpEx movement, but relatively flat year-over-year as well from an OpEx side.
Cameron Doerksen: Okay. And as you sort of look ahead to next year, I mean, 1 of the things you sort of mentioned earlier in the call was around adjustments to the cost base to kind of offset further weakness here. I guess what can you do across the business to reduce cost to try to offset some of the weakness on the demand side of the equation?
Jose Boisjoli: I mean without going into detail with -- there is always in a company like us, a lot of projects going on in different country, different area. And obviously, we will relook at the whole list and reprioritize the next 18-months going to a more slowdown than what we had anticipated.
Sebastien Martel: And the other element is from the operations. Again, we're planning more conservatively for next year with softer industry trends. That means our operations people will plan accordingly. This year, it's been challenging for them, but they've actually done a very good job, but when you do a sequential adjustments to production, it's tough for them to run their shops as efficiently as possible. And so that is certainly another lever that we have and also. As you know, we've had a -- there's been a lot of inflation. A lot of management of COVID needed to happen in the last three, four years. Now we can focus on reducing bill of materials through cost improvement initiatives. And that's going to be another important driver of efficiency.
Cameron Doerksen: Okay. So that, I guess, process is, obviously, you're ongoing, but maybe we'll see some of the benefits more so in fiscal '26 as opposed to this year?
Jose Boisjoli: Yes, absolutely.
Cameron Doerksen: Okay, great. Appreciate it. Thanks very much.
Operator: Thank you. Next question will be from Jonathan Goldman at Scotiabank. Please go ahead.
Jonathan Goldman: Hi, good morning. Thanks for taking my questions. On the consumer side, the weaker demand trends that you're seeing, do you think that's more a function of consumers delaying or deferring a purchase? Or is it lacking the ability to make a purchase in the first place. And in either case, what sort of rate relief would you need to see to spur consumer demand?
Jose Boisjoli: And just to give you some consumer behavior or trend, you know pre-COVID, 20% of our units were sold to new entrant. In the peak of the COVID time, it did go up above 30%. And now we're back to the 20% ratio. Then we're back to pre-COVID level, 20% of our units basically are sold to a new entrant. What is interesting is the split between high-end technology innovation, product versus entry level. We see -- and I will just give you some data for watercraft. Our entry-level retail in Q2 was down high-double -- was down high-double-digit when our high end was down high-single-digits. And you can see that on watercraft, all the Spark category in the GTI category was hit harder versus the high end. And side-by-side, same thing. If you look premium versus value, the premium was up mid-single digit when the value was down mid-double-digit, then the trend is that you see that -- the trend that we saw in the last few quarters is continuing. I would say now what is the new entrant level. And there is more customer -- new entrant customers who finance their product that are refused to credit. We hear that more often, and this will come back when the interest rate will go down.
Jonathan Goldman: That's great color. And then, Jose, you talked about potentially gaining share in ORV in season '25. Is your expectation you can gain similar levels as you did this year?
Jose Boisjoli: Yes, I would not adventure committing on any numbers. But the point is, right now, we are in a period where it's transitioning from model year '24 to '25. We start producing '25 for TV side-by-side this month in end of July, beginning of August. Then we are in that transition where depending on the inventory, depending on the program and the noncurrent, there is a play there. But that's why when this transition is done, typically take a quarter or two. After that, we will compete again model year to model year and we believe we have the right product to start with. And we have, obviously, the right program to continue our momentum.
Sebastien Martel: Yes. And, just to highlight on ATV, -- if you look at our ATV lineup, we've completely refreshed the whole line up in the last 18 months, the introduction of a mid-level platform 18 months ago, and now we have the high CC platform that we recently introduced as well. So from a product point of view, we're extremely, extremely competitive. With a lot of new features and there's been very little innovation in the last 10-years on the ATV industry. So that obviously bodes well for the next season.
Jonathan Goldman: That's good. Thank you for taking my questions. I'll get back to queue.
Sebastien Martel : Thank you.
Operator: Thank you. Next question will be from Jaime Katz at Morningstar. Please go ahead.
Jaime Katz: Hi, good morning. So could you guys give us some insight as to how dealer financing rates have changed. I'm wondering if they've moved down similarly to mortgage rates and if the demand is still sort of languished while those rates are moving down? Or is that rate generally a little bit stickier to sort of SOFR?
Sebastien Martel: Yes, the rates are actually pegged to SOFT. So they haven't yet moved down. Obviously, there should be some positive news in the next few weeks, hopefully, that is going to be announced. That is certainly going to help the U.S. dealers. But as of recently, they've been stable at the level in the last few quarters.
Jaime Katz: Okay. And then when we think about assessing secular demand changes, I think it would be interesting to hear how maybe something like unchartered society demand has changed in the recent period. Has that sort of kept up given the limited requirement for ownership in it? And otherwise, have you seen any other patterns coming out of that business?
Jose Boisjoli: I don't have the latest data, to be honest, this morning, but I didn't heard anything. The goal of Unchartered Society is to team up with the best rental operator around the world to make sure we're offering a top-notch experience for our consumers. And like we say internally, it's put button seat because every time you try our product, we believe we have a great success to converting in sales. But I didn't have new numbers to see if -- I didn't heard anything that their business slowed down drastically lately.
Jaime Katz: Perfect, thanks.
Operator: Thank you. Next question will be from Luke Hannan of Canaccord. Please go ahead.
Luke Hannan: Thanks. Good morning. Just one question on my end here. If we go back to last quarter, if I remember correctly, Jose, I think it was roughly two-thirds of the units that you had retailed during the quarter were current versus non-current. Where did that stand this quarter? And how does that compare to the industry?
Sebastien Martel: Yes. As I said in my prepared remarks, we are actually successful in retailing noncurrent units in the quarter. At the end of the quarter, what I can tell you is the overall inventory in the network, about 75% of the inventory was current. It was a bit lower because no mobile. As you know, we finished the season last year with higher snowball inventory that becomes non-current. As for ORV, the inventory in the network was 90% current at the end of July. So we're in a very good position there.
Luke Hannan: Great. Thank you very much.
Operator: Thank you. Next question will be from Brian Morrison at Cowen. Please go ahead.
Brian Morrison: Good morning. Thank you very much. I appreciate the color on Mark's question on the 15% to 20% inventory reduction. Can you just take it one step further if you target 90 days of inventory, where are you now? Because I have you around 135 days. And if I add back the destock to forward revenue, they still have you about 120. Can you just share with us where you are now?
Sebastien Martel: Yes. No, we're lower than the 135. And again, I'd have to check where you get your numbers. We are lower than the 135. If you look at -- if you compare to our wholesale, obviously, our wholesale is lower than what's happening in retail. So that's probably why you're getting higher numbers. As I mentioned, we made good progress. We're already -- inventory is already down 13% since the beginning of the year. And so we're in very good shape to deliver our 15% to 20% for the end of the year, Brian.
Brian Morrison: Okay. I understand. Can you give us a ballpark of where you are or no?
Sebastien Martel: Well, the ballpark is 30% down. So that's pretty precise in terms of number.
Brian Morrison: Okay. I'm talking in terms of days. But next question in terms of your liquidity, I understand it's very good, but is there a target leverage that you don't want to exceed, I think you had a target of 1.5 times to 2 times previously?
Sebastien Martel: Yes. Well, we want to keep a normal circumstances, I want to have time to 2 times because we want to have that flexibility. And we know that in a situation where there is a slowdown and we need to correct delivery that the leverage is going to go up. But when we IPO-ed, we were 3 times levered, and we operate at that level, and we were very comfortable operating at that level because our debt is coming at light and the maturities have been extended, and so we have no short-term financial commitment that is going to distract the organization from focusing on operations versus managing cash flow. And so could we run at 3 times, 3.5 times. In the current context where with our treasury team earlier this year, we extended the maturity of the revolver in the Term B. I'm super comfortable operating at those levels.
Brian Morrison: Okay. And then last question, maybe, Jose, say, do you have any insight right now into the used market?
Jose Boisjoli: We don't have much data on this on the used market. But obviously, I think during the COVID a lot of consumer purchase product at -- I mean, above MSRP price. And this is cleaning out slowly. It takes a while for our customers to accept a loss -- a bigger loss than he was expecting on his used unit, but this is, I would say, stabilizing right now, but I don't have specific data to share with you this morning.
Brian Morrison: Okay. Thank you very much. I appreciate the actions you guys are taking.
Jose Boisjoli: Thank you.
Operator: Next question will be from Fred Wightman at Wolfe Research. Please go ahead.
Fred Wightman: Hey guys, good morning. I was just hoping you could unpack the changes to the year-round guidance. I mean, to your point, that's sort of where the biggest chunk of the full year outlook adjustment comes, but there are some different subcategories down within that. So could you sort of give us magnitude where you're making the biggest changes?
Sebastien Martel: Yes. We made an adjustment to our product revenue guidance, if I look at the midpoint by about $165 million. The year-end products is a big business, about 50% of revenues in the second half of the year. And the ORV industry is where we've made the biggest adjustment because that's where we're seeing more softness. And we want to be cautious, obviously, on the -- shipment plan. About 80% of the adjustment we did is on side-by-side, and the rest equally distributed between ATV and three-wheel. But again, as I mentioned, we want to be cautious. But yes, we're still very bullish on the prospects of ORV. As I mentioned earlier, coming out of the cloud, the new ATV platform, very well received, the Maverick MAX as well, which is 60% of the supersport industry for side-by-side. That was super well received and also the new Defender with the upgrades that we did on the Defender CAB. Plus we have also great product news coming out next year for the ORV business, but we're anxious to announce that. And so we're still very bullish despite making a sizable adjustment on ORV this quarter.
Fred Wightman: Great. Thanks a lot.
Operator: Thank you. [Operator Instructions] Next is Tristan Thomas-Martin at BMO Capital Markets. Please go ahead.
Tristan Thomas-Martin: Good morning. Just one question on PWC. You said you're going to kind of end the season with some carryover inventory. The selling season self is ending. So I'm assuming there's a lot of floorplan support kind of baked into your guidance and potentially early next year. Is that right? And then is there any way to quantify how much that is?
Jose Boisjoli: Watercraft, just to explain the dynamic that happened season '24, there is two elements. First, we're surprised by the magnitude of the industry decline. Again, at the end of May, we were on our plan, a low number, but the trending was -- has planned. And I think when we had the call, we mentioned that Memorial weekend was -- at the end of May was softer than typical. But following that, June, July was very, very soft summer retail. In fact, it was the lowest Q2 industry retail in eight years, then it's -- you can see how magnitude was bad for June and July. And this is the industry. And on top of that, and it was anticipated, but it was worse than anticipated. As you remember, in 2023, our main competitor on watercraft shipped very late is new product. We gained significant market share in that product category. He handed up with more noncurrent than what we had planned. And this year, when we had a lot of noncurrent and he had more noncurrent than us, we've lost more share than in the noncurrent category than what we had anticipated. To be honest, our planning was probably too optimistic. And this is the two elements that affected our watercraft retail this season. That being said, we're ending the season with close to 60% market share. I mean we cannot be happy about this. We just need next summer to readapt our shipment and rebalance the inventory out there to continue on this very good business.
Tristan Thomas-Martin: Yes. Okay. I understand that. I guess what I was asking was with kind of the winter coming, dealers maybe having a little too much PWC inventory, is there incremental floorplan support [Multiple Speakers] to quantify how much?
Sebastien Martel: Yes, we do provide additional floorplan support depending on the dealers depending on how much more inventory they have in the yard. And we do provide support until early next year, but you'll appreciate that for competitive reasons, I'll hold back from disclosing any amount, but it's all provided for in the guidance.
Tristan Thomas-Martin: Got it. Thank you.
Operator: Thank you. At this time, we have no other questions. I will turn the call to Mr. Deschenes to close the meeting.
Philippe Deschenes: Great. Thank you, Sylvie, and thanks, everyone, for joining us this morning and for your interest in BRP. We look forward to speaking with you again for our third quarter conference call on December 6. Thanks again, everyone, and have a good day.
Operator: Thank you. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.